Operator: Hello, all, and welcome. My name is Rita, and I will be your conference operator for today. At this time, I would like to welcome everyone to the Q4 2022 National Fuel Gas Company Earnings Conference Call. All lines have been placed on mute today to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. Brandon Haspett, Director of Investor Relations. You may begin your conference.
Brandon Haspett: Thank you, Rita, and good morning. We appreciate you joining us on today’s conference call for a discussion of last evening’s earnings release. With us on the call from National Fuel Gas Company are Dave Bauer, President and Chief Executive Officer; Karen Camiolo, Treasurer and Principal Financial Officer; and Justin Loweth, President of Seneca Resources and National Fuel Midstream. At the end of the prepared remarks, we will open the discussion to questions. The fourth quarter fiscal 2022 earnings release and November investor presentation have been posted on our Investor Relations website. We may refer to these materials during today’s call. We would like to remind you that today’s teleconference will contain forward-looking statements. While National Fuel’s expectations, beliefs and projections are made in good faith and are believed to have a reasonable basis, actual results may differ materially. These statements speak only as of the date on they are made, and you may refer to last evening’s earnings release for a listing of certain specific risk factors. With that, I will turn it over to Dave Bauer.
Dave Bauer: Thanks, Brandon. Good morning, everyone. National Fuel ended fiscal 2022 with a great fourth quarter. Adjusted operating results were right in line with our expectations at $1.19 per share, a 25% increase over last year. Looking back, fiscal 2022 was another exceptional year for National Fuel. Operationally, we had multiple successes, including completing the FM100 project on time and under budget, growing Seneca’s net production by 8% and replacing more than 150 miles of pipe as part of the utilities modernization program. Strategically, we tightened the focus of our company, selling our California assets at the top of the market. And we also made significant progress on sustainability initiatives. All of these great accomplishments position the company extremely well for the future. While the outlook for the business is strong, we aren’t immune to the challenges facing the broader economy. During the year, inflationary pressures in an extremely tight labor market impacted us across our business segments and as we discussed last quarter, we will likely have a continuing impact in 2023. Seneca’s fourth quarter capital came in a little higher than expected. While some of this was timing between fiscal years, the largest factor was related to increased costs associated with the spot frac crew that is completing two pads in Tioga County, ahead of the winter heating season. We have taken several steps to mitigate future inflationary pressures on our Upstream Capital Program and Justin will have more to say on this later in the call. Regarding the labor market, like most other companies, it’s a challenge to attract and retain key talent. In response to these conditions, we have adjusted our compensation practices to bring them more in line with the current market. As a result, we have seen an increase in O&M expense, particularly in our Regulated businesses, where we have the largest number of employees. These inflationary challenges, along with increased rate base from our modernization program are expected to lead to rate cases in both divisions of our utility in the coming years. To that end, last week, the Pennsylvania division of our utility filed its first rate case since 2006. A summary of the filing is included on page 41 of our updated slide deck. In short, we are asking for a $28 million annual rate increase commencing August 1, 2023. We are also looking to implement a distribution system improvement charge mechanism or DSIC, a weather normalization clause in our tariff. The DSIC is a long-standing modernization tracking mechanism that is commonly used by utilities in Pennsylvania. Like the system modernization tracking mechanism in New York, the DSIC would allow us to recover the cost of our Pennsylvania modernization program in a more real-time fashion. The rate proceeding will play out over the next few quarters, and it should be relatively straightforward. We already have the lowest delivery rates in the state by a wide margin and even after a full $28 million increase, our delivery rates will still be the lowest in the state. We also expect rate cases in our FERC Regulated Pipeline subsidiaries over the next few years. Under the terms of the settlement agreements governing their rates, our Supply and Empire are both required to come in for new rates in 2024 and 2025, respectively, though, they can both file earlier than that if they need to. Switching to the outlook for our fiscal 2023, the recent drop in the natural gas forward curve has led us to revise guidance to a new range of $6.40 per share to $6.90 per share. At the midpoint, this is an $0.85 per share reduction, almost all of which is driven by our revised natural gas price assumptions. Despite the reduction, our $6.65 midpoint represents a 13% increase in expected earnings year-over-year. Our longstanding hedging program mitigated a large portion of the drop in expected pricing. Our fiscal 2023 reduction is roughly two-thirds hedged, which is right in line with our stated policy. As a reminder, our debt policy gives us a lot of latitude allowing us to hedge between 40% and 80% of our production in the current fiscal year. Over the past few years, we have trended closer to the high end of that range and this was the result of the natural gas pricing outlook that was in place at the time we did the hedges, as well as the desire to have greater certainty around cash flows to help support our investment grade credit rating. Looking forward, we still believe hedging is an important tool to provide downside protection and I expect Seneca will continue to be active with its program. However, with the improved outlook for natural gas, it’s very possible our hedge percentages in fiscal 2024 and beyond will trend a bit lower within our policy range. In addition, we have been focused on using more costless collars, which allow us to participate in the upside if commodity prices increase. On the capital spending side of our forecast, the outlook is unchanged. Considering our revised earnings guidance, we now expect funds from operations will exceed capital spending by $325 million for fiscal 2023. Karen will have more details on our earnings and cash flow expectations later in the call. Looking beyond 2023, the significant investments we have made across our four lines of business should lead to a sustained period of significant free cash flow generation. This puts us in the enviable position where we can simultaneously deleverage our balance sheet, return capital to shareholders through our longstanding dividend and pursue additional future growth opportunities. National Fuel’s outlook is further strengthened by what we see is a growing appreciation of the importance of natural gas. We all know the affordability, resilience and reliability of natural gas are unmatched by any other former energy today. At a time when energy security and affordability have never been more important, it’s obvious to natural gas and its resilient delivery system, needs to be a central component in an all of the above approach to energy policy. One need only look to the challenges facing Europe and California to see the payrolls of going all in on intermittent resources. Nevertheless, we continue to see policymakers in New York and elsewhere, pushing the narrative that growth in wind and solar alone can meet the needs of a fully electric world, including for winter heating and cold climates like Buffalo, without sacrificing affordability and reliability. They fully believe the electric grid can nearly triple in size without impacting costs and they have complete faith that massive amounts of dispatchable emissions-free generation solutions will be developed when no such technologies exist today at scale. The gap between aspirations and reality is truly remarkable. National Fuel will continue to advocate on behalf of our customers for a more reasonable approach, one that continues to leverage our existing natural gas infrastructure, saving customers money without sacrificing energy reliability. Lastly, before closing, a few words on ESG. In September, we published our third Annual Corporate Responsibility report, which highlights our substantial environmental, social and governance efforts. And you see that we had another great year with our ESG initiatives. I am particularly proud of the progress we have made towards our 2030 methane intensity reduction targets, as well as Seneca’s responsibly sourced gas certifications. In addition, system-wide, the team did a great job advancing our safety culture. Without a doubt, we are focused on adhering to the guiding principles that are at the core of what makes National Fuel successful. In conclusion, fiscal 2022 was a great year for National Fuel and I am excited about our future. We are in a great position to generate significant and durable free cash flow across our businesses and combine this with the strength of our investment grade balance sheet and our significant footprint of assets in one of the lowest emission intensity basins in the world and I firmly believe the outlook for National Fuel is as strong as it’s ever been. With that, I will turn the call over to Justin.
Justin Loweth: Thanks, Dave, and good morning, everyone. Seneca and NFG Midstream wrapped up the fourth quarter of our fiscal year with strong operational and financial performance, continuing the trend of solid execution across our Appalachian development program. For the year, net production increased by 8%, reaching a record 353 Bcfe, while adjusted EBITDA for our Non-Regulated businesses increased by 34%. This strong performance continues to be driven by our expansive high quality acreage position, the ability to deliver gas to premium markets through our valuable marketing portfolio, Gathering infrastructure connectivity and our unique integrated approach to developing our acreage. From a reserve perspective, we also had a great year. Despite the sale of 175 Bcfe of proved reserves, we replaced 240% of our fiscal 2022 production and increased our total reserve base by 319 Bcfe. We now sit with approximately 4.2 Tcfe proved reserves, of which 79% are proved developed, one of the highest among our Appalachian peers. Looking back, fiscal 2022 was a significant year for Seneca. We brought online multiple pads on our acquired acreage in Tioga County, with results from both the Utica and Marcellus exceeding our expectations, and we closed on the sale of our California operations, transitioning to a pure-play Appalachian natural gas producer. We also made major strides in our sustainability initiatives, including certifying our natural gas production under MiQ, Equitable Origin and Project Canary, further and independently validating our culture of environmental stewardship and operational excellence. On the heels of Seneca’s strong results, our Gathering business also had a fantastic year, registering record throughput, significantly growing third-party volumes on our system and commencing the build-out of centralized facilities in Tioga County that will serve our growing production in the years to come. Looking forward, we remain focused on execution with no change to our later plans. We continue to expect our two-rig drilling program to deliver mid-to-high single-digit production growth over the next few years. In the near-term, we expect to accelerate production with 17 new wells coming online during the first quarter, which will take advantage of the higher natural gas prices expected during the winter months. 10 of these wells are in the WDA and the other seven are in Tioga County. Based on the anticipated timing of these pads, our production this quarter is expected to be flat with Q4 of fiscal 2022. However, our production will increase towards the end of Q1, as these new pads come online. From there, production should continue to ramp steadily throughout the winter, spring and early summer before flattening out or modestly declining into the end of the fiscal year. Given that our operational plans are largely unchanged and we have taken steps to mitigate inflationary pressures where possible, we are maintaining our capital spending guidance range of fiscal 2023 of $525 million to $575 million. As a reminder, this incorporates the impact of the 15% inflation we experienced in fiscal 2022 and an additional expected 10% increase in fiscal 2023. At the midpoint of our fiscal 2023 guidance range, we would expect CapEx to be down slightly year-over-year. As Dave alluded to earlier, fiscal 2022 capital came in at $565 million, a bit over guidance. With a portion related to pulling capital forward from fiscal 2023 and the remainder related to higher than expected completion cost on a Tioga County pad, we plan to bring online later this month. As a result, we had a spot frac crew in place for this pad and spot activity continues on a second pad over the near-term. But by Q2 of fiscal 2023, we will be solely utilizing our full time electric frac fleet under a new long-term contract. We expect that utilizing a dedicated frac crew will allow us to avoid cost challenges we saw with periodically contracting for a spot crew and a tight service environment. And our move to electric equipment will meaningfully reduce our exposure to elevated and volatile diesel prices. Switching to our marketing portfolio, we continue to look for ways to add to or supplement our portfolio of firm transport and firm sales that reach premium markets and support our growth trajectory. During the fourth quarter, we successfully secured about 43,000 dekatherms of long-term TransCanada Pipeline capacity. This new capacity will complement our existing capacity on Empire Pipeline, providing a path to Dawn markets in Ontario, Canada. Having direct access to Dawn Hub markets, which is both highly liquid and trades at a premium, is expected to provide significant incremental value for our Tioga production. We also remain focused on accelerating our sustainability and safety initiatives. To that end, in August, Seneca achieved an A certification grade, the highest available certification for 100% of our natural gas production under the MiQ standard for methane emission performance. On the Gathering side, we also made significant progress on projects to reduce overall emissions and lower the methane intensity of our operations. For example, at The Clermont West Compressor Station, the largest owned and operated by NFG Midstream, we are working to convert current gas-driven pneumatics to our system, which we expect will be completed by the end of the calendar year. The improvements of this station, alongside our existing emissions-related efforts are an important step in reaching our long-term methane intensity reduction goals. We also had a great year on safety, reporting a second straight year of zero DART injuries at Seneca and Midstream, while also maintaining and improving our contractor oversight to ensure adherence and performance in alignment with our high safety standards. Given the increased activity levels and in certain areas an influx of new workers, this is an outstanding accomplishment and clearly validates our culture of safety first. I want to thank our entire Seneca and Midstream teams, as well as our contractors for their tireless efforts in achieving these results. In conclusion, our Upstream and Gathering business are working together hand in glove, continuously finding ways to optimize our operations plan and drive differentiated value from our significant development inventory. Looking forward, we see continued opportunities across our integrated model to enhance margins and investment returns. Our integrated model paired with our safety and sustainably focused culture position us extremely well in fiscal 2023 and beyond. With that, I will turn the call over to Karen.
Karen Camiolo: Thanks, Justin, and good morning, everyone. National Fuel closed out its fiscal year on a strong note, with GAAP earnings coming in at $1.71 per share. Several items impacted comparability to our prior year results that are described in last night’s release, so I won’t cover them here. Excluding these items, adjusted operating results for the quarter were $1.19 per share, an increase of 25%. Higher natural gas prices, the increase in Seneca’s production and its corresponding impact on Gathering throughput, along with the benefits of our FM100 pipeline project were all key drivers during the quarter. This was partially offset by higher costs in our Regulated businesses. As Dave mentioned, the tight labor market has driven increases in employee compensation, which is putting upward pressure on O&M expense. Compared to the prior year, O&M expense was up 13%. We saw the combined impacts of wage increases for both our collectively bargained and salaried employees that went into effect earlier in the year. Additionally, we accrued an expense related to a short-term incentive program for our supervisory workforce that is tied to strong corporate performance for the year across a number of metrics. While operating costs are rising alongside the broader inflationary headwinds, the topline of our Regulated businesses is performing really well. Utility margin was up 3% year-over-year, while revenues in our Pipeline and Storage segment were up $13 million or 15% over last year. The increase in Pipeline revenues was largely attributable to our FM100 project along with some good results in our short-term business, which helped push us over the high end of our guidance range. Our commercial team has found ways to optimize our facilities to maximize revenues through short-term contracts leading to some uplift during the quarter. While modest, these contracts continue to highlight the value of our Pipeline infrastructure. Turning to next year, we have reduced our earnings guidance to a range of $6.40 per share to $6.90 per share or $6.65 at the midpoint. This $0.85 decrease is almost entirely due to lower NYMEX natural gas forward prices. We have reduced our natural gas price assumptions from $7.50 in the winter and $5 in the summer to $6 this winter and $4.75 in the summer. As we mentioned last quarter, every $0.50 change in NYMEX natural gas prices impacts earnings by approximately $0.45. Given that our hedge position remained relatively constant, this pricing sensitivity still holds. Other than a few other minor adjustments, our guidance assumptions are largely unchanged and can be found in our earnings release and investor presentation. One other item of note relates to a recent order in our New York Utility that has no impact on earnings or cash flows but does reduce EBITDA going forward. Due to our pension plans, becoming fully funded and significantly de-risked, we made a voluntary filing to step recovering revenue from our customers that was used to fund these plans. This allows us to reduce utility rates heading into the winter without any impact to our financial results. EBITDA will be reduced by $18 million with an offsetting benefit in non-service pension costs, which falls below operating income on our income statement. This is a bit complicated, so please reach out to Brandon to walk through the finer details. Moving to capital, our consolidated spending was in line with our prior guidance for fiscal 2022 and our plans for fiscal 2023 remain unchanged. From an overall cash flow perspective, fiscal 2022 was a great year. Between cash from operations, our capital spending and proceeds from the sale of our California properties, we were able to reduce our outstanding debt by $100 million during the year. And but for the $90 million in hedging collateral deposits would have ended the year with no short-term debt outstanding. Looking to fiscal 2023, we now expect funds from operations to exceed capital spending by approximately $325 million. This is down $50 million from our prior guidance and is driven primarily by our revised natural gas price assumptions, partly offset by a lower expected cash tax rate, which we now forecast to be in the high-single digits as compared to the mid-teens in our prior guidance. This puts us in a great spot to continue growing our longstanding dividend and to fully redeem the $549 million of long-term debt that is maturing next March, which we expect to accomplish with a combination of cash flow and short-term debt as necessary. As we have said for a while now, this focus on near-term debt reduction will leave us with a significant amount of financial flexibility moving forward. We anticipate that it will further reduce our leverage profile with debt to EBITDA trending from roughly 2.2 times at the end of fiscal 2022 to below 2 times next year. This is consistent with the mid BBB metrics the rating agencies have guided us towards, which is where we would like our rating to be moving forward. With our strong balance sheet and outlook for continued free cash flow generation, we are in a great financial position going forward. With that, I will ask the Operator to open the line for questions.
Operator: Thank you. [Operator Instructions] The first question we have from the phone lines comes from John Abbott of Bank of America. John, your line is open.
John Abbott: Good morning and thank you for taking our questions.
Dave Bauer: Good morning.
John Abbott: My first question is, yeah, just given where -- just where inflation has been going and stuff is just how do you think about maintenance CapEx across your various businesses for the long-term?
Dave Bauer: Well, we have had an ongoing capital program that we are going to stick with. I think what it does is to the extent that there inflationary pressures over time. I think it just influences the timing at the edges of when we would be filing for a rate case. But we are certainly going to do what we need to do to keep the system safe and reliable.
John Abbott: Yeah. I was actually sort of thinking about what do you think long-term maintenance CapEx for the E&P business, Gathering business, Pipeline and segment and Utility business. I mean I understand what you are saying about Utility to keep it on that, but where you think long-term maintenance CapEx is for the E&P business?
Dave Bauer: Yeah. So, John, I’d say, the general view is where we are now to go down to maintenance. You would look for that number to come down by $50 million to $150 million per year. It would be a little bit different, because unlike today where we are continuously operating a couple of rigs, utilizing top hole rig and we will have active completions, and we are growing our production, as I have spoken about and plan to continue to grow in that mid-to-high single digits. Moving to kind of a flat mode, we wouldn’t have the same cadence of completions and that would cause a little variability year-to-year at Seneca. It would also cause a little variability at Midstream, if you think about expansions. But big picture, you can think broadly about a $50 million to $150 million reduction.
John Abbott: That I appreciate it. And then follow-up question I have is to Karen here. So, Karen, if I understand, so cash taxes in fiscal 2023 will now be in the high-single digits versus the mid-teens prior. How do you think of cash tax is looking at strip beyond fiscal 2022 and when do you expect to be forecast taxes just based on the change in cash tax guidance?
Karen Camiolo: Yeah. So, I mean, I think, we will be over the next few years definitely moving into the mid-teens and as far as when we would be a full taxpayer, we are looking at probably 2024.
John Abbott: That is very helpful. Thank you very much for taking our questions.
Dave Bauer: You bet.
Justin Loweth: Thanks.
Operator: Thank you. We now have Umang Choudhary of Goldman Sachs. Umang, your line is now open.
Umang Choudhary: Hi. Good morning and thank you for taking the question. I want -- for the first question, I would you love to get a thoughts on New York scoping rules. How does that change your long-term plans on E&P business for [inaudible] business and if that creates additional opportunities for NFG to participate in other business lines like RNG, for example, or carbon sequestration, for example?
Dave Bauer: Yeah. You broke up just a little on the first part for E&P. Could you say that one more time, please?
Umang Choudhary: Sure. So I would love your thoughts around the New York scoping rules and then how does that change your plans for E&P business for it to grow? And if it creates any additional opportunities for NFG to participate in like businesses like RNG, for example, which you had indicated before?
Dave Bauer: Yeah. Well, I will start with the scoping plan. The Climate Action Council is busy finalizing the plan that they would vote on and publish at the end of the year. Our hope is that they take a more reasonable approach than what was put forth in the initial scoping plan. It seemed to me that they pretty much ignored costs and reliability, and it’s our hope that they take a more reasoned all of the above or hybrid approach, however you want to describe it, approach to energy policy going forward. I think, regardless of the scoping plan, when you just look at the overall trends towards decarbonization, independent of what happens there or at Seneca, we have the ability to participate in RNG, hydrogen and alike, and it’s an area that we have teams in place that are looking at that and it’s my hope and expectation that over time, we will come to a point where we are able to make investments there. With respect to both, the scoping plan and RNG, I am not so sure that has much of the impact on our E&P business. For the near-term, we are going to be operating a two-rig program, generating considerable free cash flow and we are going to do that regardless of what happens in New York and the level of capital that we are talking about on the RNG and hydrogen side isn’t so big that it would put a two-rig program or make it difficult to fund a two-rig program.
Umang Choudhary: Got you. That’s great color. Thank you. And then maybe…
Dave Bauer: You bet.
Umang Choudhary: … if I just guess, if we look at the Eastern development area, can you remind us how much inventory do you have in that area and then if there are any bolt-on opportunities which you would look towards to add to inventory?
Justin Loweth: Yeah. So in the -- across the EDA, I mean, we have well over a decade of inventory within that area across Tioga and Lycoming Counties. So we are sitting in a great spot. We do continue to evaluate opportunities to bolt-on. We will continue to do so and we will continue to be basically adhering to the principles we put out before, which is focusing on assets where we see them as either continuous or very contiguous or very proximate to our existing acreage, ideally having an opportunity to leverage our integrated model, whether that’s the Gathering side or at Supply and Empire. We will continue to focus on those and as those opportunities come up, we will certainly evaluate them and look to complete the ones that make sense.
Umang Choudhary: That makes sense. Thank you.
Dave Bauer: Yeah.
Operator: Thank you. [Operator Instructions] We now have the next question on the line from Trafford Lamar of Raymond James. Please go ahead when you are ready Trafford.
Trafford Lamar: Yeah. Thanks for taking my question. My first one is kind of a item that’s been pretty topical this quarter. It revolves around why the basis differentials. And you all have a good chunk of firm takeaway capacity or firm sales already baked in, but looking at the revised guide that saw basis dips widening, especially in the second half of 2023. Can you kind of talk about what you all have seen recently and kind of your thoughts on maybe second half of 2023 and beyond?
Justin Loweth: Yeah. Sure. Happy to, Trafford. So, generally, it’s been -- to say it’s been an interesting and volatile market. It’s probably a huge understatement. We are very well positioned. I would encourage you to, as you have time to look at slide 29 of our investor deck. That gives you a really good visibility into our overall level of, what I will call, takeaway protection, so the combination of our firm sales and takeaway capacity. Overall for the year, we have got 88% of our forecasted production flowing through either firm transport and/or firm sales. So that significantly mitigates our exposure to any sort of in-basin low cash prices right out of the gates. And then on slide 29, what you can really see is, we have developed our portfolio to kind of meet our expected growing production throughout the year. And so, where we are today versus the growth that we expect through the year, particularly into to Q3, you can see that following the quarterly disclosure on our firm sales. And so we think we have positioned the portfolio really well. We have seen the forward markets widen and so we thought it made sense to kind of true those up to literally what we are seeing as of a couple of days ago in the forwards. But again, that is not a very big exposure for us. It’s a relatively minor exposure for us, given our positioning on firm sales and then you combine that with our kind of hedge and fixed price position, which is roughly of two-thirds. We think we are in a pretty good spot to participate in upside and to have some protection to any sort of downside.
Trafford Lamar: Great. Thank you on that Justin. And then one more on Seneca, you mentioned the long-term contract with an electric frac rig coming on in 2Q, a diesel over $5 a gallon, what are the cost savings versus a diesel crew at this time?
Justin Loweth: It’s very significant. So on an annualized basis, its well over -- the net difference between the gas versus the diesel is well over $10 million. So it’s a pretty big move to go from one input fuel to the other from a cost perspective, and obviously, there’s some great intangibles there from an emissions and our long-term sustainability goals as well. But that will meaningfully mitigate some of the pricing around our completion operations.
Trafford Lamar: Great. Thanks for the color and congrats on a really good year guys.
Dave Bauer: Thanks.
Justin Loweth: Thank you.
Operator: Thank you. I’d like to turn the call back over to Brandon Haspett for any further remarks.
Brandon Haspett: Thank you, Rita. We would like to thank everyone for taking the time with us today. A replay of this call will be available this afternoon on both our website and by telephone and will run through the business on Friday, November 11th. To access the replay online, please visit our Investor Relations website at investor.nationalfuelgas.com, and to access by telephone, call 1-866-813-9403 and enter conference ID number 533110. This concludes our conference call for today. Thank you and good-bye.
Operator: Thank you all for joining. That does conclude today’s call. You may now disconnect your lines.